Operator: Hello, everyone. Thanks for taking the time to connect to our Second Quarter 2023 Results Conference Call. This event is being recorded. Our speakers today will be our CEO, Mauricio Ramos; and our CFO, Sheldon Bruha. Following their prepared remarks, we will have a Q&A session. By now, you should have received a copy of our earnings release, which is available on our website, along with the slides that we will be referencing during today's presentation. Now please turn to slide two, where you can see our safe harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and could have a material impact on our results. We will also be referring to many [Indiscernible] throughout this presentation, and we define these metrics on slide four, and you can find reconciliation tables in the back of our earnings release as well as on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Mauricio Ramos.
Mauricio Ramos: Good morning, and good afternoon, everyone. Thank you for joining us today. Let's start right away with the highlights of the quarter on slide five. During the quarter, we saw both continued challenges and positive progress. On the challenging side, we saw continued political and macro challenges in Bolivia, and the impact of competition and continued double-digit inflation in Colombia. These trends are impacting primarily our home business in these two countries. In response to these challenges, we have been adjusting our investment plans and commercial activity accordingly in those markets. On the positive side, our B2B and postpaid businesses continue to perform strongly across the majority of our markets. And most of our markets continue to show positive revenue growth with Paraguay, Panama, Honduras, Nicaragua, and El Salvador, all performing well. All in, service revenue grew 1.9% organically in the quarter. This is down a bit from 2.2% growth in the first quarter. The main reason for this is our decision to take additional steps to defend our prepaid mobile market leadership in Guatemala. This defense is taking a bit longer than I had anticipated, but this is the correct long-term strategy. We believe it is already working, and we already see emerging signs of a healthier industry structure in Guatemala. And we'll talk about that in more detail in a moment. We also continue to make very good progress on executing Project Everest, our efficiency program. We're strongly focused on an increasingly efficient way of operating all our business and on driving those efficiencies into stronger cash flow. So, we continue to invest in Everest during Q2 with some additional one-off costs to the one we have seen in Q1. The savings are becoming visible in the second half of this year and more so into 2024. And more importantly, we're emboldened by the progress we're seeing on Everest, and we believe there's meaningful further room for us to deepen those efficiency efforts. Our focus on cash flow efficiency is indeed relentless. So, Sheldon will talk about that more in a minute. Now, let's turn to slide six. Service revenue grew 1.9% during the first quarter, driven by growth across all business units. We're seeing slower growth in home, which was flat in the quarter, but mobile was solid, especially postpaid, and B2B remained our top performer. As you can see on this slide, we continue to see positive growth across the vast majority of our markets. Let's look at B2B in more detail on slide seven. B2B service revenue grew 6.1% in Q2. This is the sixth consecutive quarter of growth in the 5% to 6% range. As we have said before, this is the result of the renewed B2B strategy we put in place just before the pandemic, and which is now paying off. The growth is fueled by our strategic push into selling digital services. As you will recall, this includes cybersecurity, managed multi-cloud and secure SD-WAN. Revenue from these digital services grew 29% in the quarter and now represents nearly 20% of our overall B2B service revenue. This is exactly what we were aiming for when we revamped our B2B strategy a few years back. We are also quickly reconfiguring our top-line growth on B2B by focusing on these scalable digital services, while we're retiring all legacy contracts with limited future growth. Kudos again to the team, particularly because we now have a strong pipeline of projects and new clients to sustain growth. For example, we recently signed a large multi-year engagement with Panama's Social Security Administration for connectivity and remote communication services for over 170 help [ph] points across the country. You will see the positive impact of this relationship in our Panama results beginning in the second half of this year.We have also signed important new contracts recently with Coca-Cola FEMSA, Banco General, Alpina, and [Indiscernible]. Now, let's look at our continued positive postpaid mobile results on slide eight. Our postpaid subscriber base increased by almost 190,000 net additions during this quarter. We have now added more than 500,000 postpaid customers over the past year. Postpaid customers now make up 17% of our total customer base and we believe there is a long runway ahead to continue to migrate more of our customers into postpaid plans that drive higher ARPU. Postpaid service revenue has been growing at a 7% CAGR over the past several years and it grew almost 9% in Q2. Obviously, some of this growth is fueled from our own prepaid business, but our prepaid business itself is actually performing very well and growing in almost every country with the exception of Bolivia, which is driven by regulatory changes last year, and Guatemala, which I will talk about in a moment. So our postpaid business has accelerated and practically every country and our postpaid is contributing to this strong performance. Postpaid now accounts for more than 20% of our total service revenue and it has become a very important growth driver as we expected it would. Needless to say, we're very focused on the higher customer lifetime value of these postpaid customers and the stronger path to convergence that they bring to the business. Now let's talk about our home business on slide nine. As I have mentioned before, our home business has experienced softer growth over the past year and it was essentially flattened in Q2. And as we told you at Q1, this slowdown is largely focused on Colombia and Bolivia. In Colombia, increased competition has driven home ARPU lower and industry churn higher over the past year. As a result, we have shifted our focus to price and investment discipline and away from what would be lesser or unprofitable customer growth. For example, we have maintained and even increased installation fees. This is impacting customer and revenue growth, but it helps protect profitability and cash flow by keeping a lead on churn. In Bolivia, the challenges we face in home are more macro related. Political and macro instability, including empty strikes, loss of customer confidence, and reduced middle class income and growth are all taking a toll. As a result, in Bolivia, we're holding the line on installation fees and on pricing. This is costing us in terms of net customer losses in the first half of the year, but it is paying off in terms of cash flow. With Bolivia its actually showing operating cash flow up double digits in the first half of the year. Panama is also seeing somewhat lower growth on home, but this reflects on both our sustained very high market share on ARPUs and our own strategic focus on the mobile market via convergence. We're very pleased indeed with our performance in mobile in Panama. Panama performance as a whole is strong with overall service revenue growth of over 4% for the business. We also think that our strategy to hold the line on pricing on fixed and actually take some rate increases recently will pay off. Indeed, we have seen some of our competitors recently announce price increases in home in Panama, suggesting good price discipline and healthy industry behavior pays off in the long-term. As for our other markets, you can see from the chart that our home business continues to grow throughout the rest of our footprint. Paraguay in particular has seen a strong recovery with growth of nearly 7% in home in Q2. This is a result of investment we've been making in recent years to push fiber deeper into our network, and we have seen a significant improvement in network performance in our NPS scores. We're also seeing improved trends in PayTV, partly thanks in large to our collaborative effort with the government to crack down on piracy over the past year. Piracy is still an issue for us in other markets, but the program in Paraguay shows a path forward and therefore we applaud the Paraguayan authorities for taking valuable action. Let's now focus on a couple of our larger markets, starting with Guatemala on slide 10. As I said at the beginning of these prepared remarks, reaping the benefits from our strategy to defend and strengthen our leadership in Guatemala is taking a bit longer than I expected. But one, we're convinced this is the right strategy to preserve and grow the long-term value of the business, and two, we see positive signs of a healthier industry behavior in the making. The chart on the left is the first indication that we are on the right track. It shows the evolution of our mobile customer base in Guatemala over the last four years. We can make two observations. One, we grew significantly and added a million new customers during the pandemic, and two, we have successfully held on to our subscriber base since then. And this is key. Second indication is that we have leveled the playing field on spectrum and network position. You see this on the right-hand chart on this slide. As you likely recall, the acquisition of the Telefonica asset in Guatemala, our main competitor obtained a ton of spectrum and deployed an upgraded network last year. This gave them a temporary network advantage that they put to use by offering popular apps like Facebook and TikTok for free on a zero-rated basis to the prepaid customers. We initially resisted matching their offer, because we think that providing apps on zero-rated basis is a terrible idea for our industry in the long-term. Instead, we focused on shielding our customer base with a more narrow and target pricing approach, successfully migrating our best customers to postpaid, stepping up our commercial activity to address our competitors' additional spend, and investing to our network capacity to protect our long-term standing brand attribute as the best network in the country. With this additional network capacity during this second quarter, we changed our offer to further align it with our competitors. This impacted our growing ARPU and our Q2 numbers, as you have seen, but it has further bulletproofed our customer base and market share, protected the value and profitability of our business over the long term, and indeed, as you can see on this slide, our customer base has remained stable. Finally, and most importantly, we have just acquired a significant amount of spectrum in the 2.6 Gigaherts band that was very important to us for three reasons. First, you can see from the chart that we have nearly doubled our total amount of spectrum. Our band allocation itself has also significantly improved. This will allow us to add capacity in a cost-effective manner and also preserve our strong network brand attribute. Second, we have successfully leveled the playing field on spectrum and network in Guatemala, and we have achieved now spectrum parity. I cannot overemphasize how important this is. And third, this 2.6 Gigahertz auction process was well-organized, well-managed, and very transparent. And just as important, the industry as a whole behaved in a healthy and rational manner. And this is why we see a more stable, value-enhancing, and healthy industry structure in Guatemala now in the making. Now, please turn to slide 10 to focus on Colombia. As most of you know, we have invested heavily in this country in recent years. In 2020, we acquired critical spectrum in the 700 Megahertz band, and since then, we have expanded our network and our commercial distribution. And we have steadily gained, shared, and increased the size of our mobile business since acquiring that spectrum. Our mobile business has been driving our service revenue growth over the past two years, and this was true again in Q2, as you can see on the left. Colombia shows continued mobile subscriber growth and sustained revenue, EBITDA, and OCF growth. But, as I have said often, this is not enough. Margins have been moving gradually and consistently higher, but they are still below the 34% level we had achieved just prior to the new player entering the market. And our Colombia business remains a single and a large retractor to our group equity free cash flow. That's largely because the cost of spectrum in Colombia is many times higher than in our other countries. So, we're taking additional important and immediate steps to improve our investment returns in the country. One, we will continue to, and with increased emphasis and urgency drive operational efficiencies, margin improvement, and product and overall operational simplification. The operational cash flow in Colombia simply needs to be stronger. And two, we will continue to pursue inorganic solutions that we expect will help reduce the amount of capital needed to compete effectively in the country. To that end, we recently announced that we have signed an agreement with Telefonica to create a combined mobile network with access to an optimized spectrum portfolio. Efficiencies unlocked by this initiative are very meaningful in the long term, and so is its strategic rationale. This agreement is subject to various regulatory approvals, and we're working diligently with Telefonica and our partners in Colombia to secure that approval. As we have said often, a combination of improved operational performance and inorganic solutions is required to make Colombia work in the long-term. These organic and inorganic initiatives are now well underway and making progress. Finally, before I turn the call to Sheldon, let me update you on some of our ESG initiatives, which are deeply relevant to our long-term success in the region. First, we signed a pledge recommitting to strengthen the rule of law in Central America. The pledge is promoted by the Partnership for Central America and includes 90 other companies operating in the region, like MasterCard, Microsoft, and PepsiCo. As you know, we believe that fostering a culture of transparency, integrity, and ethical practices in the region will give us a long-term sustainable business environment to operate in. Second, we released our first report on eligibility and alignment with the EU ESG Taxonomy Regulation, and we launched our group-wide human rights policy, which highlights our commitment to protecting the rights of our customers, our workforce, and all of our stakeholders. And third, our digital education program for teachers in the region, which we call Maestr@s, Conectad@s has now reached over 420,000 training teachers since 2020 [ph]. We're very proud of all of this positive progress. With that, I will hand over to Sheldon to discuss the financials for the quarter.
Sheldon Bruha: Thank you, Mauricio. Before I review the financials, let me recap the macro context on slide 14. This quarter, I'll focus my commentary on inflation. As you can see on this slide, inflation across most of our markets peaked around September and began to decline rapidly during Q2. This is very encouraging and is similar to what we have seen in the U.S. market. Unfortunately, though, inflation has remained elevated in Colombia, where it's still around 12% at the end of June, as you can see on the slide. This is impacting margins in one of our biggest country operations, and this also explains why our interest expense is higher than we had expected this year, because the vast majority of our Colombia debt is in local currency and at variable rates linked to inflation. We also see the impact of interest rates on our lease expenses, because most of our contracts include annual price adjustments that are linked to inflation as well. So, in summary, recent inflationary developments are positive, but we still have a way to go to get back to more normal inflation levels, particularly in the large market of Colombia. Now, let's look at our Q2 performance beginning on slide 15. Service revenue is $1.29 billion in the quarter, which is down from $1.3 billion a year ago due to exchange rate movements. Our service revenues were once again negatively impacted by adverse FX trends this quarter, primarily due to currencies in Colombia, which depreciated 12% on average during the quarter compared to a year ago, and in Paraguay, which depreciated about 5%. Excluding the impact of FX, organic growth was 1.9% in the second quarter. This compares to 2.2% growth reported in Q1, and the slight slowdown mostly reflects the actions we took in Guatemala, as Mauricio discussed earlier. Both our mobile and fixed businesses grew approximately 2% during the quarter, with postpaid mobile and B2B being standout performers. Going down further on slide 16, to the service revenue by country, Mauricio already discussed Colombia, so I won't cover that again. Guatemala was down 1.6%, and that reflects the actions we took to strengthen our prepaid offerings, and this partially was offset by continued growth in our subscription businesses in the country. Bolivia was down nearly 3%, Mauricio already touched on the home business challenges in that market, but another key driver of this decline is the prepaid mobile business. You will recall that there was a change in prepaid regulation implemented in August of last year. We will begin to lap that impact in Q3, and that should contribute to see improvements in our year-on-year comparisons going forward, although the macro backdrop remains very challenging here. In contrast to Bolivia, Paraguay has had a very strong quarter, with growth accelerating almost 10%. That's up from 6% in Q1. All business units contributed to this very strong performance, and this came from both ARPU and customer growth. Finally, our other Central American markets are performing reasonably well, with all of them showing mid-single-digit revenue organic growth. Okay. Turning to EBITDA on slide 17. EBITDA of $515 million was down 10.8% from $577 million from a year earlier. There are a number of items to unpick here to provide a fuller picture of the performance. This is not meant to be an excuse, as I am not pleased with the EBITDA outturn and we need to and will do better, but I want to explain and provide transparency. First, ForEx impacts, primarily from Colombia and Paraguay, accounted for about $18 million, or three percentage points of the decline. Second, we incurred severance and other restructuring costs for about $6 million related to our cost-efficiency program, Project Everest. I'll come back to talk more about Everest later in the presentation. Third, as you saw also in Q1, share-based compensation is higher this year because of our stock price increased meaningfully between the time when the shares were granted in December and when the cost of these grants were booked during Q1. This is a non-cash item and has had a $5 million impact on EBITDA in Q2, similar to Q1, and this impact is expected to continue in Q3 and Q4. Fourth, we incurred some costs for legal, advisory, and other third-party services related to the buyout discussions that took place and have now concluded. This was about $3 million, which disappeared next quarter. Finally, after the end of the quarter, we received an adverse legal ruling in Colombia, which impacted EBITDA by about $10 million. We've already filed an appeal, but we had to book an additional provision for this in our Q2. This was partially offset by a much smaller $2 million benefit to Bolivia. In addition, I also want to mention some legal fees that we have been incurring over the past year as we respond to questions from the U.S. Department of Justice in regard to the subpoena that we received in April of 2022. There are no new developments in the case and we continue to cooperate fully with the DOJ, but there is a cost to this. Over the past year, we have spent $15 million on legal fees, including $5 million in the most recent quarter and a similar amount in Q1. We cannot easily predict whether these legal fees will continue and how they will evolve, but at least we will begin to lap these expenses in the second half of this year, which will help our year-on-year comparisons going forward. Excluding FX and all these unusual items, our EBITDA would have declined about 2.5% during the quarter, driven by the underlying country performances, which I will now cover on slide 18. As we discussed previously, the commercial decisions we've made in Guatemala to defend our leadership position have had negative impacts this quarter and EBITDA declined 7.7% to $199 million. This is flat compared to Q1. Columbia EBITDA grew 5% after adjusting for recorded one-offs in both periods. And as Mauricio mentioned already, our margins have been gradually expanding over the past two years, and we are taking steps to continue to drive these higher over time. Panama grew 1.5%, excluding the one-off of last year, as service revenue growth of 4.1% was partially upset by increased content spend and expenses related to Tigo Sports Channel, as well as increased bad debt. Paraguay had impressive EBITDA growth of 12.4%, consistent with the very strong service revenue we already discussed. Bolivia was down 10%. As we discussed previously, we continue to face macro and competitive challenges there and we have not yet lapped the regulatory change that went into effect in August of last year. EBITDA growth in the remaining countries of Central America was just over 3% in El Salvador and almost 5% in Nicaragua. Finally, Honduras, which we do not consolidate, had strong growth of 6.8%, reflecting the improved revenue trends during the quarter. I want to spend a moment reviewing our efficiency program, Project Everest, where we continue to make significant progress this quarter. As you know, we've been hard at work on several initiatives that will drive great efficiency and agility across the organization. These initiatives range from organizational restructuring to truck roll optimization  and power savings initiatives. During the quarter, we incurred $6 million on implementation costs, bringing the total for the year to approximately $21 million. In the second half of this year, we will continue to incur some small implementation costs, but the savings will start to become visible. In fact, the savings in 2023 will be materially greater than these implementation costs, making the project net positive for the year. We expect the momentum of our savings to start in the second half of this year and continue through 2024. As a result, we are making great strides for achieving our goal of over $100 million in annual run rate savings by the end of 2024, with more than 50% of those run rate savings expected by the end of 2023. We're encouraged by the progress we've made so far, but we also continue to see additional opportunities, and we believe there is still more we can and need to do to streamline our operations and simplify and improve the way we operate and drive better financial performance from this business. We're already developing the second phase of efficiency opportunities, and we'll provide updates to you on this as our plans solidify. Now please turn to slide 20 for our usual net debt bridge. Net debt is up $100 million. This is due to equity-free cash outflows during the quarter, as increased spectrum and interest costs outpaced organic OCF growth of almost 10% in the quarter, as lower CapEx made up for this decline in EBITDA. We also had a ForEx impact from the translation of local currency debt. As the Colombian peso at June 30th strengthened from its level at March 31st, as well as the depreciation of the Swedish krona during the quarter, which affected the cash payment related to a hedge we had in our SEC bond, which we redeemed in the quarter. And as I reviewed earlier, EBITDA in the first half of this year is impacted by a number of one-off and unusual items, all of which are having short-term impacts on our debt-to-EBITDA leverage ratio. We added Q2 at just over $6 billion in net debt, and net debt-to-EBITDA after leases of 3.34 times. If we include lease obligations of just over $1 billion, our leverage was 3.37 times at the end of Q2, which is up from 3.23 times at the end of Q1. Let me hand the call back over to Mauricio now for a wrap-up.
Mauricio Ramos: Thank you, Sheldon. Before we go into Q&A, let me wrap this up. We're obviously not happy with our Q2 results, and we are therefore very focused on getting to stronger and more sustainable cash flow. To this end, there are four key priorities that will get us there. One, we're improving our operational efficiency across the business more than ever before. We're simplifying product offerings and operations, we're automating processes, and we're digitizing platforms. And across the board, we're driving new opportunities to reduce costs and increase cash flow. Second, in Guatemala, our investments and our strategy are aimed at restoring a healthy and sustainable industry structure. We invested further in Q2 to get there, and we're beginning to see signs of positive developments. Third, in Colombia, we're accelerating our plans to increase margins and cash flow through operational efficiency and through simplification, and we're also now driving much-needed inorganic solutions and getting some traction there. And fourth, we're advising quickly and surely on LATI, the important carbon and value capture from our tower portfolio. As you can see, this is all about getting to a solid and a sustainable equity-free cash flow in 2024, and therefore creating value for our shareholders. With that, we're ready for your questions.
Operator: Thanks, Mauricio. We're now going to move to the Q&A session. And we have our first question coming from Andres Coello at Scotiabank. Andres?
Andres Coello: Yes, hello. Can you hear me?
Mauricio Ramos: Well, Andres. Yes, we can hear you loud and clear.
Andres Coello: Okay, thank you. Thank you. Yes, Mauricio, last quarter, I asked you about M&A moves in Colombia, consolidation in Colombia. And you said that it was the right time to do it, remember? And just a few weeks after, we saw the announcement of a memorandum of understanding with Telefonica. So I have a couple of questions on that. First, if you can perhaps discuss the timing of that deal. What are you thinking in terms of closing and in terms of approval? Second, we would like to understand if this is a 50-50 joint venture, meaning, both you and Telefonica owning equal partners, equal parts of this infrastructure company. And if it's a 50-50 agreement, whether you're perhaps expecting Telefonica to contribute some cash in order to reach that parity? And the third question is, and perhaps this is the most important. If you believe this deal will end the cash burn in Colombia. If you believe that this will finally lead you into positive cash flow generation in Colombia? Thank you.
Mauricio Ramos: All right. Well, thank you. So let's start. Thank you, Andres, for that. So, what the deal is, to begin with, is it's a full mobile network sharing agreement with Telefonica. So, we're sharing the RF, including the antennas. We're sharing the transmission equipment and fiber optics. What we're not sharing, of course, is the core network itself, the commercial operations naturally, and we are putting a single set of spectrum into the joint venture. So that's very important to understand. So this won't be very different from some of the agreements that you've seen Telefonica amongst others do elsewhere. So it is a combined, jointly owned shared mobile network company in Colombia. Each company preserves their commercial separate operations and their core. That's what the deal is. It is a shared 50-50 deal. And of course, we're pulling in equipment, spectrum, et cetera, et cetera. I won't go into the details of how we're making the compensations back and forth, but everything, including a joint spectrum, will be part of this agreement. In terms of timing, we're finalizing the final agreement and we've submitted all the documents to the Colombian regulatory approvals. The Colombian authorities are very thorough on these matters and very professional on these matters. So we expect that they'll take a full awesome [ph] review of this. We're obviously working with our partners. We're obviously working with Telefonica to support that approval. We expect that it will take somewhere between six, maybe up to 12 months. We hope it doesn't take that long, but it's certainly within the expected approval times. The key to the deal, of course, is that it provides efficiencies on network build, network maintenance, so everything that has to do with the network itself, but also efficiencies around spectrum, which as you realize in Colombia are very, very important given the very high cost of spectrum. We think this is very positive to the marketplace. It should be very well received, and it has been very well received by authorities because it creates viability going forward. And that leads to your last question, Andres, was yes, this is a mighty important step towards getting Colombia towards equity-free cash flow. It's not the one and only that we're taking. As you heard us talk about in the prepared remarks, we're driving operational PCCs across the operations. The combination of those will get us to where we need to be in Colombia. And I think you're on mute, but I think that probably answered your question.
Operator: So we'll go now to Marcelo. Marcelo Santos at JP Morgan. Here we go.
Marcelo Santos: Sorry, if you called me, I'm here. Thanks for taking the question. I have two questions. First is the softness in the Colombian market, and especially in the home market. Could you discuss a bit more like how in regards to macro and competition. This is mostly competition. Is there a macro angle? I just wanted to go a bit deeper on that home environment in Columbia. And the second, the run rate of Everest savings. Could you comment, what's the run rate now of Everest savings? You gave an indication of where it will be by the end of the year, but what have you captured so far? Thank you.
Mauricio Ramos: I'll give you a little bit of color on the first one, Marcelo, and thank you for joining today. Thank you. that will give Sheldon a little bit of time to prepare for number two. So it's a bit of both, both in Colombia, the softness on home, it's a bit of macro and a bit of competition. So the Colombian GDP, as you know, this year is much softer than anywhere else. It's only going grow maybe 1%, 2%. And inflation has remained very high in Colombia. So consumers are feeling the macro hurting on them. And overall confidence in Colombia, as you've seen, consumer confidence is very, very low. And that has an impact on the middle class, has an impact on broadband adoption. But coupled with that, there's been quite a bit of competition in the marketplace. And then the two things combine, once there's softness, competitors start chasing each other customers and churn goes up. So competition has increased in Colombia. As you very well know, Marcelo, and we said this, I think, in the preferred remarks, we have remained very disciplined in Colombia. We're not driving customer growth in Colombia. At the expense of high churn and low profitability, we've taken the opposite view, which is we'd rather be very, very disciplined in Colombia, and we've kept installation fees in Colombia. We think that's the right long-term strategy. And last week, one of our large competitors followed on that strategy and put some installation fees as well. So hopefully there'll be some more rationality going forward.
Sheldon Bruha: Sure, Marcelo. On the project Everest questions, first of all, look, I'm, I'm very bullish and about the opportunity and what we've been able to do so far on this program. We've incurred, as we've highlighted, about 6 million in startup costs or sort of implementation costs in this quarter, about 21 million, cumulatively in the first half of this year. And I highlight as well, we've, the benefits that have already achieved by the program have already essentially surpassed that. We went sort of just essentially net positive on that project Everest here just this month. So, so kind of year to date we're, we're essentially neutral in terms of, in terms of those impacts. So, the second half of this year we'll continue to incur some, some additional startup costs but we will now start seeing the benefits of those flow through. I highlighted, the run rate of where we exit this, this year to be sort of, in excess of, half of our, our revenue full ambition of $100 million. I think we'll be materially higher than half as we exit the year. And look, I think as we've gone through this project, I think what I pointed out to, I mentioned in my prepared remarks as well, is we do see other opportunities here. There's more we can and should be doing from this program. And so, not just implementing what we sort of have in our plans, but also identifying new opportunities around, around, increased simplification, across our business, increased organizational reorganizations around how we can sort of optimize, what we're doing with the people that we have. Those are going to be important, items that we're now going through and trying to, get you resized, as I kind of mentioned, Everest 2.0, so we can, that's sort of in process as we're going through our budgeting cycle here. And we do see other opportunities. I don't think we'll be expecting and needing to deliver other opportunities there.
Marcelo Santos: Perfect. So just to be clear, at least 20 million run rate you already got because that's the cost. So that's how I should understand this. You said you were even. That's mean at least 20 million at this point run rate.
Sheldon Bruha: Yes, what I'm saying is actually it's 20 million what we've achieved in the first six months, yes.
Marcelo Santos: Perfect, perfect. Okay, thank you very much.
Operator: Yep. Thanks, Marcelo. So next, we're going to go to Phani Kanumuri at HSBC. Fanyi? 
Phani Kanumuri: Good morning, everyone. Thanks for taking my question. So the first question, I think, is kind of extension of the question that we had previously. So you have an inorganic solution in Colombia for mobile. Are you looking at monetization of the fixed asset side in Colombia or in any other market? That's the first one. Second one is, can you tell us -- an update on how your spin-off of the task is coming up and spin-off or sales of the task is coming up and what is the likely timeline? Is there a change from your last update? Thank you.
Mauricio Ramos: Hey, Phani, thanks for joining. I assume the second question is, is the overall tower portfolio for the core group, correct? So listen, on Colombia, as I said often and I think was very clear, not only last quarter, but this quarter, we're very committed, extremely committed to getting Colombia out of being our only negative equity-free cash flow producer in the deposit territory. And that requires organic focus driving cash flow, what we're doing, incrementally so going forward as I mentioned already, but also a series of inorganic solutions. We've talked about a length at the beginning of this call on the combination of the mobile network with Telefonica, which is fundamental. It's a strategic, as I just mentioned, in terms of spectrum synergies and in terms of network synergies as well. There are other inorganic ideas in the mix, but I would prefer not to comment on M&A that is not a strategic. It's still in the kitchen. Let's put it that way. Never a good idea to talk about stuff that's in the kitchen. My grandma would say, just get it burnt. So allow me some flexibility there, Phani. Now, on Lati, as I said, point number one, it remains a top priority, one of our key priorities for reasons that are well understood, I think, by everyone the opportunity to capture some value, the effects on the business, et cetera, et cetera. The second point I would take is, our full new board is very supportive and very engaged with this initiative. So we now have renewed impetus, if you will, on it. Three, we continue making significant progress. I think when we started this process, I was very careful in saying, this is a long haul preparatory process setting up the agreements, creating the structures in each one of the countries, moving the towers around, et cetera, et cetera. So tons and tons of work. That work, quite frankly, has been less delayed than I probably expected it would. So we remain largely, if not perfectly, Phani on track with that. So we're still shooting in terms of timing to get something in the works by the end of this year. It may spill in too early next year, funny, but that's well within what you would expect for my project of this size. And lastly, the last point I would make on this is as we learn more and more, the opportunity makes us be very bullish on it. And so it's always our full new board. That's the long and short of that. I think those four points give you a lot of call of running.
Phani Kanumuri: Yes, very helpful. Just an additional question on the monetization of fixed assets. Is it only in Colombia that you're looking for inorganic solutions? Or also you're looking at a broader Latin and Central American portfolio for the fixed assets?
Mauricio Ramos: There isn't a single idea. There isn't a single geography. There isn't a single set of assets which we normally, as a matter of, good diligence, we're not looking if there are better ways to return capital, better cash, get a better return of capital.
Phani Kanumuri: Perfect, thanks everyone.
Mauricio Ramos: The answer is everywhere, all the time, with all assets.
Phani Kanumuri: Perfect, thank you. Operator: All right, next we're going go to Fredrik Lithell at Handelsbanken. Frederick?
Fredrik Lithell: Thank you. Hello, gentlemen. Thank you for taking my questions as well. I just wanted to go back to your recent update on your guidance for the equity free cash, cash flow for 2022 to 2024 more than 500 million. Do you see any reasons today that in any of your markets you will see earlier spectrum auctions as the ones that you sort of came across in this spring? So are there any reasons?
Mauricio Ramos: I think we lost Frederick. Oh, you meant spectrum? Sorry, we didn't hear you. Frederick. We lost Frederick, but I think the question was around any expectations for spectrum options on the. So hopefully, Frederick, you're still on the line. The key upcoming focus, as we said, I think, on our prepared remarks as well earlier today, is the second auction in Guatemala that will likely happen before the end of this year. And that will be around 700 megahertz. As you may recall, we have some 700 megahertz, but there is an opportunity to further, in a very rational manner, complete the spectrum positions for the industry as a whole. And the back of the very successful 2.6 gigahertz option that we just completed, we're working diligently to see if we can get that 700 megahertz completed before year end. That's the one that's the most important. There are talks, of course, in many markets about other spectrum possibilities. Columbia 5G, presumably, preliminarily scheduled for the very end of this year. It may slip into next year. And that's why this network combination with Telefonica is so important because it allows us now to tackle that potential 5G spectrum, whether it happens end of this year or into the next year from a position or combined spectrum position jointly with Telefonica and the authority to understand the importance of this. There's always conversations of spectrum everywhere else, but these are the two that I would put in front of the burner as the two key important ones. Guatemala is something that we're actively working towards and hope can get done. And Colombia is something that we're preparing ourselves for with the mobile network merger with Telefonica.
Sheldon Bruha: Frederick, we lost the end of your question. So maybe if there's something we missed, please remind us what you were asking.
Fredrik Lithell: Yes, I think I got a clear answer on the full question. So no worries about that. Maybe I can take a follow-up on Guatemala. What makes you confident that your defense have been successful and that, do I mean, do you see in the market that your competitors pulling back on low end offerings or whatever it might be that has been the fighter?
Sheldon Bruha: Listen, my confidence comes from the fact that this is a two-player market in which both operators have important market share and scale. And that in the long term, beyond skirmishes here and there, painful as they are in the short term, should lead to stable, healthy industry structure. I've always said that, and I've always said that this very painful short-term challenge to our position will eventually turn around. Now, few things have changed that lead me to be comfortable that that is in the making, as I said. Number one, we've achieved network and spectrum parity. Actually, we just got the actual titles to that 2.6 yesterday, so the network is being lit as we speak. That means that we'll go from a position of inferiority in spectrum to spectrum parity and network parity. That's meaningful. And because we've held on to our subscriber base, that will drive some rationality in the marketplace. We will now have better tools to compete, particularly in a very cost-efficient manner in the prepaid market. That's very, very meaningful. And our competitor knows that for sure. The second thing, as I said in the previous remarks, that shows signs of rationality is the 2.6 gigahertz auction itself. It was rationally managed, well managed by the government, the industry came and worked with the government to make it happen. There has not been an auction in Guatemala for the last 15 years. So the fact that this can happen speaks of an industry that is working with the government. And that's very positive. Now, lastly, just last week, we saw our competitor raise prices on Pulse Pay. And that's a small sign, perhaps, that things are moving in the right direction. I will tell you this, because obviously I don't control the timing of when things go back. We're doing the right thing. We're doing the right thing to defend the business. It is working. We're holding on to the subscriber base. We're improving our network. We're improving our spectrum capacity. It is the right thing for the long-term. It is painful in the short-term, no doubt. And we're feeling that, but it is definitely the right thing to do for the long-term. And that's what we're doing, even if it's painful for the short-term. I don't control when things will turn around. Next quarter, the following quarter, I see them turning around, I see the page turning, but I don't control it. And this is how we drive long-term value creation for the business. And as a result of that, I remain very positive that things will turn around.
Fredrik Lithell: Very clear, thank you.
Operator: Thanks, Frederic. So we'll go now to Lucas Chaves at UBS. Lucas.
Lucas Chaves: So hello, thanks for having my question. So the first one is regarding leverage. So how are we looking at leverage in the end of the next quarters? How do we look at the 2.5, 2.0 target in the near, in the future? And the second question is regarding Colombia. So you said about the spectrum payments at the end of the year, is there any kind of renegotiation or negotiation regarding the price of spectrum payments? Or should we look at still very high prices there in the spectrum payment? Thank you.
Mauricio Ramos: So listen, the industry work and continues to work as a whole in Colombia, Lucas. Everyone's renewing, so we're all on the same boat, all the players in Colombia. Everyone's put our best bargaining and lobbying position forward. The industry is achieving some relief, but the spectrum prices in Colombia remain high, even after these round of renewals in comparison to international standards. So we need to couple these negotiations, which have yielded positive reductions, but not to the levels that you would expect for international standards. We have coupled that with the fact the deal that we put in place with Telefonica, because jointly we'll be in a better position to then have spectrum for the combined network. And that obviously helps divide the cost of the spectrum among a larger subscriber base in a single network.
Sheldon Bruha : And on your leverage question, Lucas, look, I mean, leverage has creeped up for us and increased here in the first half of this year. Various factors got into that in terms of what's impacted our EBITDA and what's impacted our debt balances. Some of these we've been, we anticipated. I mean, there is seasonality, as we always highlight from our cash flows. So there is a cash outflow here in the first half of this year on the EFCF. And there's some went off on Everest, which we anticipated. But there's some items we didn't anticipate, this year. We've highlighted a lot of them in our pre-announcement, in June in terms of some higher spectrum costs, some higher interest costs, that are hitting us on the equity-free cash flow side here in the first half of this year. We've highlighted, several one-offs on the EBIT and kind of non-recurring and unusual items on the EBITDA side, which will ultimately lapse those on an LPM basis, but they are putting pressure on the leverage ratio here, in the short term. There's other items like FX, actually, which, I'd like to see the appreciation of the COP in Columbia, overall. But on the short-term basis, look, a 10% appreciation, in the COPs, this quarter, as I mean, we have to market that debt, which is all local currency basis, 10%, higher than it was just three months ago. So that's driven some higher debt balances. And on the flip side, We still have a, a cop that's on an average rate, over 10% lower than it was a year ago. So that's hurting us on the EPA side. So it's kind of an unusual dynamic, which, that relationship will, will correct itself over time. But it is having some short-term challenges. As for longer term, and our rate -- we did revise our outlook for equity-free cash flow, over this three-year period. You know, that. to have an impact in terms of where we think we can get, our leverage to at 2.5 times. Expect that's about a year later now to 2026 versus, what we had guided towards in terms of before of 2025 to getting the 2.5 times target. But look, I think our objective here is to, is to drive that equity-free cash flow. We do expect 2024 to be a, the best year of this three-year period for the number of the items we talked about before. Lower spectrum, lower spectrum costs, the benefits of Everest coming through, improvements, improvements in, in Guatemala from the investments we're making there to, to drive bargain performance. And we want to get to an equity-free cash flow in 2024. That's, a strong sustainable level that we can grow from. And to get there, we're going to have to deliver kind of on the other priorities that Mauricio mentioned at the end of his prepared remarks.
Lucas Chaves: That was very clear, thanks. Operator: Thank you, Lucas. So now we're going go to Stefan Ward with Pareto Partners. Stefan? You're on mute, Stefan.
Stefan Ward: Is it better?
Operator: Oh, you went back on mute, Stefan.
Stefan Ward: Okay. Another try, sorry. One is of more strategic character about the home business, how to sort of, how should we think about this business in say a two, three year perspective, started to decline in a number of customer relationships. Second quarter in a row, if you could help me there a little bit about how to think of that. The second question in regards to the legal fees, if you can help me understand how they can be so big. And they basically top all the savings from the Everest. It's not related to that, of course, but still, as a comparison, you say plus 20 million from Everest, but if I understood it correctly, 18 million in legal fees related to items that are sort of, I guess, out of your control. So that is a bit how to think of modeling legal fees basically going forward. And then if I'm not sure about the timing of Tigo money in Lati, you might've mentioned that, but I missed it. If not, if you can update on the timing schedule for any possible transaction from these two items? Thanks. Sure.
Mauricio Ramos: Oh, lots in there. So I took some notes. I can address them all somewhat in order. Listen, the home business overall is for the long term. Your question was a long term one, not a today kind of question. It's predicated on broadband penetration into the households. Broadband penetrations into the households in the region somewhere between 30% to 50% of total households in the region perhaps a little higher in more developed markets like Costa Rica, Colombia, and Panama, and less in other markets. So overall, the trend for the business will be one of penetration into more and more of the middle class that continues to be formed in these economies and adopts broadband going forward. So we remain bullish on that long-term outlook for our broadband business. I call it broadband because it will eventually become more of a broadband and a pay-to-be business, although pay-to-be is still healthy in a region. So it is all about household formation, middle-class formation, GDP growth, and broadband adoption. And that will continue to be, for the long-term, a positive trend. Now when you look at the already penetration ratios, you need to decouple Central America from Bolivia, from Paraguay, and from Colombia, because the dynamics are a little bit different. Central America continues to grow healthily, and you see that business, the home business in Central America continuing to grow healthily. Colombia, I addressed earlier is subdued, is soft for macro, but also for competition considerations in Colombia, and it's a perfect part for the business. And then Bolivia, we also addressed quite significantly, that's macro related. Once the country comes out of this cloud of political and macro uncertainty, the middle class formation will go back in place and broadband adoption will continue. When that happens, it's definitely very difficult to tell because it's macro and political. And Paraguay, and this is why I make the difference, is simply running really, really well across all lines of businesses, including home in Paraguay. So that gives you a sort of a big picture, long-term view of home. On the legal costs related to, cooperating with the US authorities. It's a big number, Stefan, no doubt. No doubt it's a big number. But as Sheldon mentioned, there's nothing new in the case other than cooperation with the authorities, and that's what it is. It's producing documents with them, it's answering questions, it's helping them review things. It's costly, painful. It's the absolute right thing to do for the long term. If it makes you feel any better, this will lap out in the sense that, it's hurting our growth and we believe we're worth the bulk, the most of the cooperation, but it mathematically laps out next year when it's already into the cost picture. And you're absolutely right. This is one of the reasons why we're doing everything else we can everywhere else to be as efficient as we possibly can, not just because of this, but this is one more reason why we need to be more efficient across the board, because there are some expenses that we need to incur. I was a mouthful there. Latvia I think we've already addressed fully. And while we're on TIGO money, and since you asked about it, we continue to make quite a bit of progress across the board. We've now done quite a bit of piloting in Paraguay on the lending project and we are pleased now with having reached positive gross margins on the lending we're doing in Paraguay. That's a mighty positive message. We're launching in Panama as we speak, and we're very happy with the early results. It's been about a two month process. We're getting the subscribers, and the team is very happy with the product the same in Guatemala, where we've relaunched. And in the process, we've learned a whole bunch of things. One focusing on the key countries is yielding us much better understanding of what this business can do. Paraguay, Panama, Guatemala become key markets for us. Number two, lending is working and work. We've got it to work in Paraguay, which is our largest market. And number three, and this is very important in terms of our learning, That product, that T-Bone Money product is very, very connected to the rest of our offering. Not only because of the brand, but also because of the customer base, but also because it drives higher NPS and because customers view it as a sticky part of our offering. So we've learned a lot. We continue to learn a lot. And I'll tell you this, we're still learning the value of that product. So in terms of timing, I don't want to leave your question unanswered. We are now in no rush. We actually want to learn more the strength of this business, the value of its business. We're more focused on getting Latvia out the door, and then we'll come back on TIGO money and better understand what we have. We're getting approached on it. But we really need to be, really disciplined in understanding what we have. And I'm getting to that deep understanding before we pull the trigger on anything.
Operator: Okay. Thanks. Stefan. And now we'll take our last question from Stefan Gauffin from DNB. I think it's an audio-only line. Stefan, if you can hear us, go ahead. I think he's on mute. Stefan, you may be on mute. Last call? All right, well, we're right on the hour anyway, so I think we can probably wrap it up there, Mauricio.
Mauricio Ramos: Well, thanks everyone for joining today. I think we're very clear on what our key four initiatives are and what they're aiming towards, getting the business to a steady, strong cash flow mandate by the end of 2024, and that's what we're focused on. Thanks very much for joining us today. Thank you.